Mike Barajas: Good morning and welcome to Via Renewables Third Quarter 2021 Earnings Call. This call is also being broadcast via webcast, which can be located in the Investor Relations section of our website at viarenewables.com. 
 With us today from management is our CEO, Keith Maxwell; and our CFO, Jim Jones. 
 Please note that today's discussion may contain forward-looking statements, which are based on assumptions that we believe to be reasonable as of this date. Actual results may differ materially. We urge everyone to review the safe harbor statement in yesterday's earnings release as well as the risk factors in our SEC filings. We undertake no obligation to update these statements as a result of future events, except as required by law. 
 In addition, we will refer to both GAAP and non-GAAP financial measures. For information regarding our non-GAAP financial measures and reconciliations to the most directly comparable GAAP measures, please refer to yesterday's earnings release. 
 With that, I'll turn the call over to Keith Maxwell, our CEO. 
William Maxwell: Thank you, Mike. I want to welcome everyone to today's earnings call. I'll begin with providing a summary of our results from the third quarter, and then our CFO, Jim Jones, will provide more details on the financials. 
 In the third quarter, we reported an adjusted EBITDA of $22 million. The decrease in gross margin year-over-year was partially offset by decreases in G&A expenses. However, our book is growing again. Last quarter, we mentioned our most recent acquisition, and we're proud to announce that those customers have begun to come online in this quarter as expected. The remaining acquired customers will be transferred over before the end of the year. 
 Additionally, Via Renewable continues to ramp up our organic sales channels and remains committed to growing our customer book. Via Renewables has committed to having 100% green book, and we'll continue to purchase renewable energy credits to offset all the electric and natural gas sold of our load in our customers and our employees. 
 We are still in the early phases of evaluating and exploring different options to expand our sustainable energy offering and going forward as well. We believe that this will drive long-term sustainable growth and value for our shareholders. 
 In addition, we continue to evaluate potential tuck-in acquisition opportunities, and we'll continue to do so as the opportunities become available. 
 We are also excited to announce that on October 15 of this year, we amended and extended our working capital facility that now includes an Acquisition Line. We would like to thank our bank group for their partnership and continued support. The Acquisition Line will provide additional flexibility, along with our liquidity in regards to new opportunities to align our sustainability focus and strategies. 
 This concludes my prepared remarks, and I'll now turn the call over to Jim for his financial review. Jim? 
James Jones: Thank you, Keith. Good morning. In the quarter, we achieved $22 million in adjusted EBITDA compared to last year's third quarter of $27.7 million. Retail gross margin for the quarter was $30.9 million compared with $47 million last year. 
 In our retail electricity segment, gross margin was $28.2 million compared to $42.8 million in the third quarter last year. This was due to lower volumes, along with slightly decreased unit margins. However, our load is concentrated in stronger-margin residential customers and expect those margins to remain steady. 
 In our retail natural gas segment, gross margin was $2.7 million compared to $4.3 million in the third quarter last year. This decrease was attributable to lower volumes, along with decreased unit margins as a result of the increase in commodity prices. 
 G&A expenses of $9.7 million were lower compared to last year of $19.1 million, primarily driven by a decrease in legal expenses, bad debt, employee costs and broker fees. 
 Total RCEs in the third quarter was 368,000. Our attrition of 2.4% is down from 3% in the third quarter of last year. Total RCEs in the third quarter of last year were 534,000. 
 Our net income for the quarter was $34.7 million or income of $0.82 per fully diluted share compared to net income of $22.6 million or $0.52 per fully diluted share for the third quarter of 2020. The increase in net income is driven by the noncash mark-to-market accounting associated with hedges we put in place to lock in margins on our retail contracts, along with lower expenses in G&A and depreciation, partially offset by reduced gross margin. We had a mark-to-market gain this quarter of $26.6 million compared to a mark-to-market gain of $9 million a year ago. 
 On September 15 and October 15, we paid our quarterly cash dividend on our Class A Common and Series A preferred stock, respectively. On October 20, we announced third quarter dividend of $0.18125 per common share to be paid on December 15 and $0.54688 per share on the preferred stock to be paid January 17. 
 That's all I have. Back to you, Keith. 
William Maxwell: Thanks, Jim. We want to thank our employees and our suppliers for their hard work in producing a good quarter. I want to thank Via Renewable customers for choosing us as their energy provider. We look forward to connecting with you soon. Thank you.